Operator: Good day and thank you for standing by. Welcome to Lilium's Q1 2024 Business Update Conference Call. At this time, all participants are in listen only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. I’d now like to hand the conference over to your first speaker today. Please go ahead.
Rama Bondada: Good afternoon and good morning, everyone. My name is Rama Bondada, I am Lilium’s Global Head of Investor Relations. Welcome to our first quarter 2024 business update. With us today for the presentation, we have our Chief Executive Officer, Klaus Roewe; and our Chief Financial Officer, Johan Malmqvist. Our Chief Commercial Officer, Sebastien Borel, and our Co-Founder and Chief Engineer for Innovation, Daniel Wiegand, will also be with us to answer questions after the presentation. Please note that a recording of the conference call will be posted on Lilium’s Investor Relations page soon after this event. As a reminder, this morning we posted our Q1 2024 shareholder letter on our website and we invite you to take a look. Before handing over to our first speaker, let me just point out that our presentation will include forward-looking statements within the meaning of the United States Federal Securities Law that are subject to risks, uncertainties, and other factors that could cause Lilium’s actual results to differ materially from such statements. Please refer to the cautionary statement in our shareholder letter and the risk factors discussed in our filings with the U.S. Securities and Exchange Commission for more information on these risks. So without further ado, let me hand it over to Klaus. Klaus?
Klaus Roewe: Thank you, Rama. Great to join you all on this call today. Coming back from recent air shows in Geneva and Berlin and the many meetings there with customers, suppliers, and other industry players, and in particular highest ranking politicians from different countries, it's clear we have a product that really stands out. A product that fascinates and draws in the crowds. What's maybe less understood are the very unique qualities of Lilium as a company, our approach, our business model, and our core technologies. I see five main differentiators that set us apart from the rest of the eVTOL industry. First, we have a management team that has previously been involved in the design, development, certification, production, entry into service, and in-service support of the safest and the most successful aircraft in modern aviation history. The majority of our employees are engineers. We are an aerospace engineering and aerospace technology company. Number two, we believe we are the only company that is resolving regional air mobility. Our mission and sweet spot where we expect to have a clear industry superiority is on flights greater than 25 miles and up to 200 miles and more. Our jet is designed with the largest cabin and seating capacity in the sector. We have the longest projected operating range in the sector. And at an estimated $3 per passenger mile, we assume a meaningful margin for the operator. We expect to be one of the cheapest options for eVTOL passengers, if not the cheapest, even the flights below 25 miles. Our third differentiator is our core technology built around our high-performance battery, our redundant electrical management system that our electric architecture optimized for efficient flight. We have the IP and proprietary rights on this technology. This is what drives our industry leading product range and speed. And this is why we will be the only regional air mobility option in the sector. Fourth, our aircraft is one of the very few in our industry that is on track for certification to the very highest certification standards in commercial aviation. And safety to this standard is not something we will compromise on. This is high-level safety standard is also what we expect will support our market entry in multiple jurisdictions throughout the world. Fifth, our business model targets the most profitable portions of commercial aviation, the OEM, and aftermarket business. At launch, we aim to capture the premium segment on existing market that we believe our jet is uniquely positioned for. Our research suggests that about 20% of business jets flights are under 155 miles, and in the executive helicopter market, about 80% of flights are under 155 miles. As we ramp up the business we will focus primarily on airline customers with robust aftermarket service activity. Lilium already has orders an MOU agreements from premium and airline customers. Ladies and gentlemen, I think it is important to take note of these five differentiating factors that set Lilium apart. And I would like to highlight the significant strides we have taken these past few months. The momentum continues. Our first test aircraft are well advancing. Our order pipeline is growing and we've made significant funding progress. We have our next key milestones, first piloted flight, firmly on our sights. Let me take you through the highlights. First, we have made significant advances in the production of our first Lilium jets. At the end of 2023, the Lilium jet program hit an historic milestone with the delivery to the company's production facilities outside Munich of the first Lilium jet fuselage. Soon after, Lilium completed the first join of fuselage wing and canards. During the first quarter of 2024, major aircraft structures and systems continued to arrive at Lilium from our suppliers, enabling Lilium to advance aircraft build and verify quality and interfaces for the first set of Lilium jets. In January, MA Group of Italy delivered the first landing gear. In March, Saint-Gobain delivered the first set of Lilium cockpit and cabin windows. The cabin windows, significantly larger than conventional aircraft windows, are a key differentiating feature of the Lilium jet and are expected to play an integral role in the outstanding in-flight experience that sets apart the Lilium jet. Match-up of fuselage, windows and windshields conducted at the Lilium aerostructure facility confirms the precision fit of the structural interfaces. Also in March, a team of experts from aircraft interior supplier Deal Aviation conducted a successful trial fitting of floor panels on the first Lilium jet ahead of delivery of the first production ship set. The similar trial fitting was conducted in April with a prototype pilot seat built by Lilium supplier explicit based in Paris, France. Parts delivered have shown impressive mastery of complex and demanding interfaces such as wing and landing gear to fuselage and cockpit windshield to fuselage. The successful assembly of these major aircraft sections confirms Lilium’s supply chain philosophy of leveraging the expertise of established aerospace suppliers capable of building paths to the exact specifications and in compliance with aviation quality standards. The high-voltage electrical harness is a system of cables that distribute power from the aircraft batteries to the propulsion units have been successfully installed into the wings and canards for the first Lilium jet, marking an important achievement in the aircraft production process. The harness system is being specifically designed and built for the Lilium jet in cooperation with GKN, Lilium's partner for electrical wiring integration. The system is essential for the Lilium jet's safety-critical power distribution architecture, combining redundancy, low weight, and optimized utilization of space. Production of aerostructures of the next Lilium jet is already well advanced, with Lilium's partner Aciturri successfully assembling the fuselage of Lilium jet number two and Aernnova its wings and canards. The fuselage of aircraft number two was delivered to Lilium in May. On the Battery 2 we made important progress, which takes me to our next highlight. Number two, we began production of our aviation grade battery packs. In April this year, Lilium started production of our advanced aviation grade battery packs. The start of battery production represents a landmark in the development of the Lilium jet. It follows extensive testing of battery pack subcomponents from individual cell to stack level with a focus on performance, safety and regulatory conformity. Lilium's battery packs are being designed to meet the EASA’s stringent aircraft safety requirements regarding shock resistance, heat resistance, containment, and redundancy. They are also being designed to deliver outstanding power and energy density to support a business model focused on regional air mobility. Lilium’s unique pioneering battery pack is comprised of lithium iron cells with silicon dominant anodes that will allow for higher energy power and faster charging capabilities in graphite anode cells. Each Lilium jet aircraft will be equipped with 10 independently functioning battery packs that are designed to enable safe flight and landing, even in case of failure of any single battery pack. Lilium has secured comprehensive intellectual property rights for its unique battery technology. Lilium jet battery packs are being assembled at Lilium’s purpose built battery facility located at company headquarters outside Munich. We are currently looking at locations in France for high-volume facilities to be brought online to support the production ramp up. Lilium has been supported in the design of the initial assembly line and production ramp up by suppliers with extensive experience in battery industrialization, especially in the automotive sector. Amongst suppliers supporting us on the battery are Baumann Automation and EDAG, both based in Germany. Lilium's battery facility is equipped with new generation digital tools that enable process control, efficient data collection and traceability. The first units of the battery assembly are being used for industrial verification testing. Further production on the Lilium battery assembly facility this year will be used for performance and safety testing and for equipping the first aircraft for the start of piloted flight testing, which brings me to our next highlight. Third, we are testing towards first flight and certification. With entry into service targeted for 2026, Lilium remains on track for type certification of the Lilium jet with the EU Aviation Safety Agency, EASA, Lilium’s primary airworthiness authority. EASA has been a pioneer of eVTOL standards, being the first aviation safety agency worldwide to develop a comprehensive rule set for eVTOL aircraft, the so-called SC-VTOL, published already in 2019 after extensive industry consultation. Lilium received EASA Design Organization approval in 2023, becoming the first company to be approved to be a type certificate holder for aircraft certified under EASA's SC-VTOL rules. In April this year, as part of the standard DOA surveillance, EASA conducted its first regular audit of Lilium’s Design Organization compliance with applicable requirements. In its concluding report, the EASA delegation confirmed that Lilium’s DOA was found properly working within its defined scope of approval, noting in particular the highly professional atmosphere in which the audit was conducted and the high level of competence in all matters showed by attendees. With the first piloted flight targeted for the end of this year, Lilium’s test activities are focused on obtaining the required permit to fly the prototype Lilium jet. Lilium remains in continuous dialogue with the EASA in order to converge on the safety requirements of the flight test aircraft and appropriate verification methods prior to first flight. As an EASA Design Organization Approval Holder, Lilium is approved to undertake conformity of test articles and testing to demonstrate compliance against the applicable certification basis. Going forward, thanks to considerable investment in Lilium’s test facilities, Lilium is also able to perform many such tasks independently of the EASA with an agreed level of involvement. In recent months, Lilium has significantly expanded its on-site testing capabilities. In May, we began the commissioning of the first two propulsion test facilities located on site within Lilium’s headquarter campus. The two facilities, formerly used as hangars for performing engine checks of fighter aircraft, are being modified for the requirements of Lilium electrical jet top design. We will be using them for aerodynamic and electrical performance evaluation of single and double propulsion units, as well as a complete multi-engine array that represents a full Lilium jet canard. The first facilities currently in the conditioning phase already has test equipment installed at the double propulsion unit on the test vent. The propulsion facilities currently have their own 650 kilowatt DC electrical power supply and an extension is being installed to provide up to 1.3 megawatt. The Lilium jet E-Motor has been designed to deliver an industry-leading power density of over 100 kilowatt with a weight of just over 4 kilogram. In April this year, Lilium successfully completed the final full-body wing tunnel testing at German-Dutch wind tunnel test facilities in Magnus, the Netherlands, Europe's largest wind tunnel facility. The last testing of the Lilium jet aerodynamic behavior at the transition and high-speed cruise was working engines and step actuators complements the previous wind tunnel campaign conducted in 2023, which was primarily focused on hover and low-speed flight. The obtained data provides further verification of the Lilium jet flight simulation modeling that will support Lilium’s safety of flight and certification campaign. Lilium’s avionics system integration test rig, developed and built by Honeywell, is now successfully running at the Lilium headquarters campus. The test rig, one of the main assets of Lilium system integration testing, combines all avionic units and software required for delivering the Lilium jet's core avionics functions, communication, navigation, autopilot, maintenance, flight recording and indication. Lilium has also successfully performed preliminary integration of the Lilium jet's flight control system. In addition, Lilium has started construction of an advanced test facility for integration and certification testing of Lilium jet. Designed in partnership with global engineering group SEGULA Technologies and located at Lilium's headquarters, the facility is due to become operational in late summer 2024. The test site will house a full-size aircraft and will be used for testing of the Lilium jet's flight controls, propulsion system, and electrical power system. As part of the Lilium jet certification campaign, the facility will be used to simulate flight and verify the performance of the aircraft throughout multiple flight profiles. Alongside the building of the first test Lilium jet, the construction of the test site represents an important step on Lilium’s path towards first flight and type certification of the Lilium jet. Covering a total area of 26,000 square feet, the test facility will comprise an aircraft mounting frame for measuring loads at moments, an airflow management system to enable representative flight conditions, and charging and cooling equipment for the aircraft's batteries. Aerodynamic testing will be supported by a powerful 1.2 megawatt blower supplied by international engineering company VIRO that can simulate across tailwinds of up to 40 miles per hour. While Lilium’s testing activity is primarily focused on compliance and verification of the serial aircraft, the two Phoenix demonstrator aircraft operated at our flight test center in South of Spain continue to provide a comprehensive data for exploring for example, Lilium’s flight physics. Going forward, Lilium also intends to use the Phoenix demonstrators for testing under specific stress conditions. Ongoing testing builds confidence in the Lilium jet projected performance, which supports our sales campaign. And this brings me to our next highlight. Number four, we are growing our order book. On the commercial front, the Lilium jet order pipeline continues to grow increasingly with firm orders that include pre-delivery payments. In total, Lilium now has an order pipeline of over 780 Lilium jets, including binding orders and MOU agreements from operators inside the United States, South America, Europe, Asia, and the Middle East. Customers love the look of the aircraft, the superior spacious cabin, as well as the estimated range and unit economics. Visibly provided by EASA on applicable safety standards and the Lilium jet’s path to certification are also supporting our global sales effort. At the recent EBACE Airshow, eVolare, a subsidiary of Volare Aviation, one of the United Kingdom's largest helicopter and private jet operators, announced the signing of binding sale and purchase agreements for the acquisition of four Lilium jets. The purchase agreements include delivery schedules, guarantees, warranties, along with deposits and pre-delivery payments. Together with eVolare, we have also agreed on terms for the reservation of up to an additional 12 Lilium jets production slots for eVolare and its customers. Based in Oxford, UK, eVolare plans to operate Lilium jets in the London area connecting London with other cities and the coastal areas of England. The current agreement follows a collaboration between eVolare and Lilium on network vertiport and operational planning subsequent to the initial firm agreement between Lilium and eVolare in 2022. In May, we want a firm order of 20 Lilium jets plus options for an additional 20 with UrbanLink, the advanced aviation operator recently launched for South Florida by the U.S. airline veteran Ed Weigel. Ed has founded, designed, and built some amazing airlines including JetBlue and Global Crossing. UrbanLink's selection of the Lilium jet reflects the customer's preference for the Lilium jet's expected superior cabin design, range capacity and cost effectiveness in the regional mission. UrbanLink plans to use its Lilium jet to link major cities such as Miami, West Palm Beach, Boca Raton, and Fort Lauderdale with services launched out for 2026. UrbanLink plans to operate from the network of Florida vertiports Lilium and its partners have been working on collaborating for the first five years. The UrbanLink order thus also demonstrates the important of addressing issues around infrastructure and operations. Customer appreciate having the confidence that the Lilium jet will integrate seamlessly into the existing infrastructure and operations. Let's look at that in more detail with our next highlight. Highlight number five, we successfully expanded the Lilium support network in key markets. Earlier this year, we launched our aftermarket service business called Lilium POWER-ON, integrating multiple services with partnerships already in place in several areas such as spare parts management, fast charging infrastructure and pilot training. We have continued to expand Lilium’s aftermarket service offering its geographical reach. In May, we announced an expansion of our existing partnership with Luxaviation Group, one of the largest business aircraft and helicopter operators worldwide. The expanded partnership will leverage Luxaviation Group's ExecuJet network of 141 fixed-based operations to create electrified ground infrastructure for the Lilium jet in its key markets across Europe initially, with further sites in the Middle East plant. ExecuJet is an industry leader in ground handling and provides first class facilities for business aircraft, passengers and crew across the world. ExecuJet extensive network will serve as a key foundation for the Lilium jet's intended network across the EMEA region, including France. As part of our plans to bring Lilium jet flights to the South of France starting in 2026, Lilium has also teamed up with Aéroports de la Côte d’Azur and UrbanV, a designer and developer of advanced air mobility networks. Building upon strong local ecosystem and support in the region, Lilium plans to enable a network to connect the French Riviera with key destinations throughout Southern France, including Monaco, Nice, Cannes, St. Tropez, Toulon, Aix-en-Provence, and Marseille. The partnership with ACA and UrbanV, the first of its kind in the region, aims to establish and operate vertiports at the Nice Côte d'Azur, France's second largest airport, together with Cannes Mandelieu and Golfe de Saint Tropez, with further locations under consideration. Lilium is currently in advanced discussions with further local partners to create vertiports in Monaco, Sophia Antipolis, Toulon, and Marseille, which are expected to be concluded before the end of the year. Edeis, a leading French engineering and construction firm, has agreed to connect Aix-en-Provence with a vertiport at Aix les Milles. The French Riviera, also known as the Côte d’Azur, combines some of the world's most attractive holiday and business event destinations. The Côte d’Azur serves as a vital transportation hub attracting over 11 million tourists annually. As part of its U.S. network expansion, Lilium teamed up with Atlantic Aviation, the leading provider of aviation services and infrastructure. Based on the MOU, Atlantic Aviation and Lilium will work together to prepare North American airport sites for the Lilium jet. Atlantic Aviation operates at over 100 locations across the U.S., including more than 30 airports within Lilium’s planned launch market of Florida, Southern California, the Northeast Corridor, and Texas. As part of the collaboration, Lilium and Atlantic will focus on infrastructure deployment and operations including passenger experience, aircraft flight paths, charging capabilities, passenger facilities, operating forecasting, and more. Before handing over for Lilium’s finance highlights, let me briefly introduce the newest member of our leadership team, Lilium’s new CFO, Johan Malmqvist. Many of you already know Johan from his previous role as CFO of a premium electrical vehicle manufacturer, Polestar. Johan played a pivotal role in successfully navigating Polestar through its U.S. public listing and spearheading the company's capital formation activities. Johan brings more than 25-years international experience across multiple sectors. Prior to Polestar, Johan held the position of CFO of Dole Food Company where he played a critical role in the company's successful merger with total products and its successful IPO. At Lilium, we take a lot of pride in having seasoned and experienced leader and Johan continues that tradition with his experience as a public company CFO both in the U.S. and Europe and his experience in fundraising and capital formation. We are delighted to have Johan with us now at Lilium where his experience of leading financial teams is a valuable addition to the company. Johan will walk you through some more highlights and details on our successful fundraise and update on our cash guidance. Johan, please.
Johan Malmqvist: Thank you, Klaus. And let me first just add, for me, the major reason for joining Lilium was to play a leading role in advanced air mobility and the electrification of aviation. I genuinely believe Lilium is in pole position within the industry with the best aircraft design, adherence to the highest safety standard and clearest path to certification. I want to be part of this exciting development and help Lilium realize the vision of sustainable flight. So now to our funding and finance highlights. During the past couple of months, we have made significant progress on our fundraising efforts, primarily on three fronts. First, we recently concluded a $114 million gross proceeds capital raise backed by both new and existing investors. Our largest shareholder Tencent continues to be supportive and participated in the latest round. Second, we have made a significant advance in our funding discussions with our home state of Bavaria and the German government. They have commissioned the German State Bank, KFW, to conduct a diligence on Lilium as part of the customary investment process. Once the diligence is completed, Lilium expects to receive state guarantees as security for a loan from the German State Bank, most likely in the form of a convertible note. We expect the funding amount of around EUR100 million and that the diligence will take around six to eight weeks to complete. Finally, we advanced discussions with President Macron's administration towards a French government guarantee-backed loan, which would be non-dilutive. We estimate the overall funding support will be around EUR200 million with disbursements over several years. We plan to use the funding to build high-volume production facilities in France, including final assembly line, battery pack assembly line, and maintenance facilities. This planned capacity expansion is already taking into consideration in our business plan. Lilium is currently discussing potential locations for the facilities with French regional governments. Lilium’s headquarters, initial production line, R&D center, and propulsion center will remain at the current location near Munich. Given the visibility on potential government-backed capital sources, along with our recent capital raise, we believe we have a liquidity roadmap for our first piloted flight later this year. Furthermore, we believe that customary pre-delivery payments will provide an additional support around our longer-term funding plan. Lilium continues to engage in active dialogue with sovereign entities, strategic partners, prospective customers, and stakeholders for further funding initiatives. Let me now turn to our current liquidity and cash spend. We disclosed our end of Q1 cash and cash usage in our May 23 6-K filing. Our cash and cash equivalence balance at the end of the first quarter was EUR102 million or $110 million. Note that this does not include any of the proceeds we announced with our latest fund raise. Our adjusted cash spend in the first quarter was EUR94.7 million. We estimate the adjusted cash spend for the first-half of this year to be between EUR185 million and EUR195 million. In other words, we expect adjusted cash spend to be about EUR100 million in the second quarter of this year. Looking ahead to the remainder of 2024, we expect second-half adjusted cash spend to be slightly higher than the first-half, and we will provide more detail in our next quarterly call. The trend is driven primarily by higher spending within our supply chain, as we begin taking receipt of the various systems and components needed for assembly of our first Lilium jet aircraft that are now on the production line. We remain focused on both cost and cash containment, particularly in non-engineering and non-certification areas, while maintaining our pace activities to achieve key milestones, in particular, the first manned flight late this year. And with that, I'll hand it back to you, Klaus.
Klaus Roewe: Thank you, Johan. As you can see, we continue to deliver our key milestones as we progress to our manned first flight target to occur in late 2024 and entry into service targeted for 2026. We are well into our assembly of our first Lilium jet and will be keeping the market abreast on the program over the course of the year. On the commercial front, the superior expected performance unit, economics and comfort provided by the Lilium jet has resulted in a firm 56 orders and we continue to convert MOUs into firm orders with pre-delivery payments. We hope to show you further progress on our ongoing discussions with airlines on feet orders in the coming months. On the financing front we have already begun receiving customary collection of pre-delivery payments in connection with pre-orders. We are continuing through these final processes with the German and French governments and are also in discussions in other regions and countries on funding options. And most important to us on the financing front is that continued long-term support of our largest shareholders and suppliers as we progress to entry into service. So I will conclude my comments here and operator, can you please open the call to questions? Thank you.
Operator: Thank you. [Operator Instructions] And your first question comes from the line of Savi Syth from Raymond James. Please go ahead.
Savanthi Syth: Hey good morning, everyone or good afternoon now. I was curious on the -- it was really helpful to kind of hear the $3 per passenger mile. I was wondering what some of the key assumptions around that metric are?
Johan Malmqvist: Great. Thanks, Savi, for the question. Klaus, over to you.
Klaus Roewe: Yes, I'm excited to talk again. So it's very simple, we are using the standard metrics that is being used in aerospace, starting off with the direct operating costs. Direct operating costs is everything which is directly called by the aircraft. It could be operated like fuel, like maintenance, like crew, like air traffic controller fees. To this, we are going to add the indirect cost, which also includes depreciation elements and even the cost of the airline SG&A. And then you basically divide it by the hours that you are flying per year and by the kilometers of the passengers that you are transporting. And this leads you to the values that we are announcing. So a very traditional aerospace calculation scheme, which by the way has been challenged by several customers, who for sure make up their mind before acquiring our aircraft, what kind of costs they will incur and hence what kind of profits that we'll be able to make.
Savanthi Syth: I appreciate that, thank you. And then if I might on the PDPs, I think you received about $2 million in 2023. I was wondering if you received any so far to-date, and just more so as you are kind of finalizing these agreements, if you're able to kind of talk about the cadence as, you know, I think most of it starts to kind of flow through following first flight, but I was kind of curious what the cadence is after first flight and like what percentages that might build through?
Klaus Roewe: Good. Seb, you want to take that one and maybe, Johan, you can add on too.
Sebastien Borel: Yes, absolutely. We're continuing to sign sales and purchase agreements, so very different from non-binding MOUs, in regards to the PDP. And we have deposit and PDP structures absolutely in line with industry standard, industry being aerospace commercial aviation, whereby you have PDP amounts coming at milestones or time before delivery. So really two types of milestones depending on the market. If you're on the premium side, it's more on the milestone. As you mentioned, first flight is going to be very important, but also type certification. And if you're looking more on the commercialization side, it's usually months or a year before delivery.
Savanthi Syth: Yes, just -- I was curious so and so like, should we -- have we assuming meaningful PDPs in 2025 then?
Sebastien Borel: Absolutely. When you're billing, you know, selling aircraft, you have a first deposit, which is quite limited, but then the PDPs come in. And I would say industry average, you're slightly above 50% of the entire cost of the aircraft being paid prior to delivery.
Savanthi Syth: Appreciate it, Thank you.
Operator: Thank you. We will now go to our next question. And your next question comes from the line of Mike Crawford from B. Riley Securities. Please go ahead.
Mike Crawford: Thank you. You talked about the BPI France process where you're hoping to secure EUR200 million with disbursements over several years. Is that a conservative forecast or is there potential for more capital from that source?
Klaus Roewe: Mike, thanks for the question. Johan, you want to take that?
Johan Malmqvist: Sure. So, as you mentioned, we're in this process. Our eligibility has been confirmed. And now we're working together with BPI, being the French Public Investment Bank, on the next steps. And it is -- the quantum that we mentioned is relative to this span than what we're ultimately eligible for. So, I think that's the best guidance at this point in time.
Mike Crawford: Okay. Thank you. And then just one follow-up would be that you mentioned with KFW that six to eight weeks from now to complete diligence or from the start of that process and also what the potential timeline might be for BPI sprints?
Sebastien Borel: Klaus or Johan, you want to take that?
Johan Malmqvist: Yes, I can jump in here. I mean, so the six to eight weeks, I would say it's more or less from now. I mean, it's a little bit of a process to go through, right, it's difficult to say with exactness, but there's a few weeks out until that customer due diligence phase is completed. So of course we want to respect that process. And as you know, we have strong support there from the highest level of the German government. In regards to France, like I mentioned, we're working with BPI on next steps. And here, I think we also want to respect the process and not speculate necessarily on the timing on the French process at this point.
Mike Crawford: All right. Thank you very much.
Johan Malmqvist: Thank you.
Operator: Thank you.
Rama Bondada: We'd also like to get to a couple of questions sent in and uploaded by Lilium’s retail shareholders. And by the way, thank you all for participating in the latest Q&A on the Say platform. We had some questions on the battery technology. The following were sent in. Keith N. asked, what is your confidence level in the current battery power and energy performance and safety? And Uneta D. asks, do you have any updates on the battery capacity and the size reduction? Daniel, I think you're best suited to address these questions.
Daniel Wiegand: Yes, of course. And thanks to Uneta and Keith for those questions on the batteries. So we have a lot of confidence on the energy, power, and safety capability of our battery technology, mainly since we have gone through years of testing on all the levels, from the cell to the module pack and aircraft level. So at first we have flown our demonstrator aircraft for roughly five years by now. And here we've been able to verify the power requirements of the airplane. We believe that now we have a very good understanding of the requirements of the regional mission including its reserve factors. And as you know we are designing our batteries to support a regional mission of 175 kilometers or around 110 miles operational range at the entry into service of the aircraft. Now the power, energy, and cycle life performance of the battery cell technology which we are using, that one has been extensively tested and confirmed through independent third-party testing. But also during the last four years since we selected that technology, we have also done an immense amount of testing of those cells and the technology and chemistry in-house here at Lilium. Since we selected this technology, major automotive players like Porsche, Mercedes, or GM have also moved towards using similar technologies with a higher content of silicon in the anodes to improve the fast charging and the energy performance of the cells. Now on the battery pack level, we are also -- those packs are designed to meet the EASA standard, and those standards are very stringent safety requirements regarding shock resistance, regarding heat resistance, containment of fires, and redundancy. And we have also on the module and pack level performed extensive test campaigns with a focus on safety, performance, and redundancy. And as just described, those battery packs are now in production and they're in production in our final assembly line at our headquarters. Now these tests represent an important step towards validating that the Lilium jet battery will meet its EASA safety requirements. Of course we have also make sure that we have an adequate supply of those cells both for the initial certification, but also for the subsequent industrial ramp up. We are pursuing a dual sourcing strategy, which is very consistent with the best practice of what you would find in the EV industry and other industries. Now if you want to find out more about the technology, I would highly recommend you to watch our battery webinar, which we did in November last year and which you can find on our website. Now to the second question with regard to the battery capacity update, one of the great features of the Lilium jet is the opportunity to integrate the latest technology on an ongoing basis through battery pack replacements in the future. Historically, the energy density of battery cells has improved by around 6% every year, and that's why we expect that through integrating the latest technology, it will be possible to extend the range significantly in the years after entry into service. And while the Generation 1 technology is in production now, some of our team members, myself, but also together with our battery technology partners, we're already working on next generation battery technologies.
Rama Bondada: Great. And while we're on the technical topic, Daniel, we also had a few questions on the trade-offs between the size of the cabin and the performance of the aircraft. And maybe you can address that too?
Daniel Wiegand: Yes, that's a great one. So as many of you know we have the largest cabin in the eVTOL sector and that's tremendously important, because you make a 100% of your revenue with the cabin of the aircraft. On the other hand, a larger cabin adds weight and also drags to an aircraft. And hence, the larger the cabin and payload, the more revenue you can make on the one-hand, but only provided you can still offer an attractive range to the customer for this payload. So in every aircraft design, the size of the cabin is therefore a compromise between the range and on one-hand, on the other hand, how much revenue you can make per mile flown or per kilometer flown. Now our ducted electric vector thrust, the [DEVT] (ph) Technology and its associated superior cruise efficiency, compared to other eVTOLs allows us to fly a larger cabin with all its penalties and still have a better cruise efficiency than our peers. This is mainly due to the fact that our DEVT Technology achieves a higher efficiency in cruise flight. We then decided to trade this increased efficiency partially into a larger cabin, and this in turn enables us to carry more passengers and to ultimately get the best unit economics in our sector. So it's basically a prime example of how technology enables an improved economics.
Rama Bondada: Great, thanks Daniel. And Sharon, maybe we can go back to the questions online.
Operator: Thank you. We'll take your next phone question. And your next question comes from the line of Bill Peterson from J.P. Morgan. Please go ahead.
Bill Peterson: Yes, hi, good afternoon. Thanks for taking the questions. I wanted to ask my first question about testing. Can you speak to the capabilities of your test facility on a construction when it comes on later? Will you have all the test capabilities in-house or will there be aspects such as that wind tunnel testing you spoke to that you're relying on third-parties? Wondering if this is future proof for future variations of aircraft and I guess when you're thinking about certification is EASA able to accept results from simulator versus actual or some combination? Just a little bit more on the testing side.
Rama Bondada: Thanks for the question, Bill. Klaus and Daniel, over to you.
Klaus Roewe: Yes, I can take it. Hi, Bill. So the answer is yes and no. We are not testing everything. We are testing the large part of the key components, but we are for sure also relying on tests made by all the players. Many of the components in aerospace are coming from certified suppliers and they come along with so-called DDPs, which is the Declaration of Design and Performance. And they are based off tests, which have been conducted by those suppliers who are eligible to conduct those tests. Regarding Lilium, you know, that we obtained our DOA late last year, and this DOA comes along with a lot of privileges, such as that we can do a lot of tests in-house. And for sure, we are focusing on the key ingredients, the most important one being the aircraft, but we have a so-called test cascade or test pyramid, which starts from the lowest level of components and then you go through subsystem level, system level, and in the end you are coming to aircraft level. At aircraft level you do ground tests and you also do flight tests and flight tests for sure being the most prominent examples. We have basically on all the key components, let's take the motors as an example, we have test benches. We could do the same for batteries, by the way, where you start at very low component level. Then we have integration test benches where we combine, for example, motors and battery packs and we see after we know how both components are performing independently, if we connect them together, if they still meet the requirements that we want them to meet. And finally, it goes to the so-called engineering ground test bench, which is in fact a real aircraft. You may know this from aerospace industry as a so-called iron bird where all components are fitting together. We also have integration test benches for the whole avionics systems. But finally, the one where everything comes together is on the aircraft level. So all the key ingredients starting from subcomponent level are done in-house. We rely a lot of suppliers, because we just don't want to do this and we don't want to invest unnecessarily in test benches. For example, when you test wheels and tires, you need the dyno. Dynos are very expensive and nobody is better placed than running tests on the dyno than the wheel and tire supplier. But everything which really matters to the performance of the aircraft and the key functionalities of the safety that's done in-house and it's already in place by the way.
Bill Peterson: Okay thanks for that. And then my second question, just I want to talk high level how we should think about use of cash for next year. So I guess excluding potential PDPs, how should we think about CapEx, supplier payments, operating expenses? Embedded in that is what kind of additional hiring do you need to do for testing and certification next year? When do supplier payments begin rolling off? Just even directionally, up, down, flattish or for use of cash next year?
Rama Bondada: Johan, you want to take that?
Johan Malmqvist: Yes, okay. I appreciate the question. I mean, we're not guiding to next year at this point in time. I mean, we -- as we mentioned in the script, we're expecting the second-half adjusted cash spend for this year to be slightly higher than the first. And so we're not guiding on the specifics, Bill for next year. I mean, we can talk about some of the operational milestones and what that means to help give some flavor. And Klaus, maybe I'll hand it back to you to talk about what's on the docket for next year from that perspective.
Klaus Roewe: Yes, as you know by end of this year, we are going to fly so you can imagine that the bulk of engineering effort should be behind us for sure there will be learnings along with the flight test activities. However, as we are preparing to certify in ‘26, and also we will have a bunch of customer deliveries in ‘26, you can imagine that the nature of investment is going to turn from engineering related CapEx, like for test laboratories, it's going much more into the direction of industrial investment, which is largely building up production capabilities, better surveillance of our supply chain. So as Johan said, for sure we have a plan on what we want to do. We have a plan for the financial planning. We also have a plan for the headcount that we need and what nature of headcount we need. We are not guiding on it yet, but you can imagine that the nature of the spend will be fundamentally different from next year onwards and for sure also afterwards.
Bill Peterson: Thank you for sharing insights.
Operator: Thank you. We will now take the next question. And your next question comes from the line of Austin Moeller from Canaccord Genuity. Please go ahead.
Austin Moeller: Hi, good morning. Thanks for taking the questions. Just my first question here, do you see any political risk just given Macron's administration is currently looking to do a snap election and how that may impact the loan and the agreement there in any way?
Rama Bondada: Yes, great question, Austin. Klaus, Johan?
Johan Malmqvist: You want to take that?
Klaus Roewe: Yes, I can start. So first of all, it's brand new information. Our prime interlocutor, as Johan was saying before, is the Public Investment Bank of France. So here we are on the process of executing after we have been found eligible for funding in France to just go through the process. You may have seen we have here the backing directly of President Macron, who is fully aware of what we are doing and has the chance to meet him just three weeks ago and have a personal discussion with him. And we all know that his role is not at stake, the President's role. We all can -- and I don't want to participate in speculations, but when you read the press, basically what President Macron is doing, he's trying to reaffirm the government and sidelining, basically, the right side by this process. We hope for sure he will be successful with it. However, with the overall intention of the country to attract projects like Lilium to have technology in the country, to have employment in the country, I'm sure it's not going to change as an intention. Would there be change of key players? We just don't know it. Could it impact timelines? We don't know it. But as we speak, we have no negative or adverse feedback. And we believe that France is a perfect point for us for many reasons, like lots of experience, industry resources, perfect marketplace. This is not going to change by political considerations. And I think also, Lilium is a perfect case for France and it's also not going to change by political considerations, whatever they may be.
Johan Malmqvist: And I can just maybe just add to that, just to, I mean, the -- as I mentioned, the dialogue with BPI continue it’s -- we continue to receive positive feedback. So things are continuing to move forward. And as Klaus alluded to, I would expect that investing into industrial assets, especially those that are high tech and emission free, like the ones Lilium was writing and creating jobs should be attractive to whoever comes into power there. So…
Austin Moeller: That's helpful and just to follow-up are there any updates from Gotion and Inobat on the Volta I and Volta II factories being built in Slovakia and the ramp up in the supply chain there to support your new battery?
Rama Bondada: Klaus, do you want to take this one?
Klaus Roewe: No, there is not necessarily any update and I have to say probably not needed, because we have our agreement with them in place. We are going through the process. We have sent quite a while ago the precise specifications of the batteries that we want to have. So first of all, they are going as Daniel said before, because we pursue dual sourcing, if not on the long-term triple or multiple sourcing approach. So they are heavily in the work to start delivering the first batteries with the current chemistry to us. We have also sent specification and we have received proposals from them on a next generation battery that we have different opportunities with. One would be another capacity increase to further foster our range, but also cost optimization on the battery side, which is also in our interest. And also here we are going to receive the first test specimens in the near time. So the agreement is in force. The collaboration with Inobat and Gotion is excellent. And we are very happy not only to have them as a second source, but also benefiting from their technology development and big teams for technology developments which they have.
Austin Moeller: Excellent, that's very [Technical Difficulty].
Operator: Thank you. [Operator Instructions]
Rama Bondada: So we wait, we have time for another retail question. Tim B. asked, could you share your insights from the expo and the conversations you've had? This would be EBACE in Geneva and ILA, the Berlin Air Show last week. Klaus, you were at both. You'd be perfect to take this question.
Klaus Roewe: Yes, that’s a great question, Tim. And it's not only the EBACE we had, it was also the ILA. And we are in preparation of the Farnborough International Air Show, which is due in July. Regarding EBACE, this was a very special one for us as it was Lilium’s largest ever attendance at the EBACE. And if you have been there, our exhibition booth was really looking outstanding and it was just situated directly at the show's entrance, so everybody had to pass by. The full scale show jet was on view for all to see. We also had the kind of room to play I would call it. The full flight simulator was there and we had a lot of high level attendants flying it that we could have people looking in from outside. The EBACE is a premier show for business aviation as you know and we had the opportunity to engage with numerous industry leaders, regulators and customers in the sector. I have to say I was really proud, I cannot give you names for sure that's confidential, but we had the CEOs of some of the biggest airlines in the world and they were completely engaged with us. We also for sure had several announcements at the EBACE. Most of all the sale and purchase agreement with eVolare for another for Lilium jet with potential deliveries of up to 12 additional aircraft. We extended our infrastructure partnership with Luxaviation, which is very important for airports in Europe and in the Middle East. The agreement with partners in the French Riviera with UrbanV and then ACA was announced and this is going to support the Lilium jet operation with vertiports. In Berlin it was a bit different so the emphasis on the ILA is on the one side on defense, which is for sure not for us, but it's more the commercial market. And again, we had tons of traction here. More important for us was that Chancellor Olaf Scholz paid us a visit. And when you know how this works, he had a very stringent schedule in terms of how much time, how many minutes he can spend on each stand. And he was only for seeing it for a short while and outside of our aircraft. But he stayed, I would say, between 2 times and 3 times the time he had on his agenda. So we messed up everybody else's agenda, but we didn't care. And he even was very excited to go inside the aircraft. And I had a great conversation with him. He was really interested also in our progress and he really took the time and gave us his commitment that he is fully supportive of what we are doing. This is exactly what Germany as a leading industry country needs, but it's also what the planet needs for decarbonization. So Chancellor Olaf Scholz was full of praise for what we are doing. And it was a very proud moment also for Lilium to have him on our booth and spending so much time with us. FIA, I think, will be very similar, but you will also see us coming over the pond. So we will have lots of presence at the NBAA later in the year in Las Vegas, but also attending to a couple of other events. So we are going to bring one of our mock-ups over, and we hope to have many of you taking the chance and paying us a visit there.
Rama Bondada: Great, thanks Klaus. And Sharon, any additional questions?
Operator: Currently no further questions.
Rama Bondada: Okay, great. So this concludes our first quarter of 2024 business update. We look forward to speaking with you before our next quarterly update in August. Please check out our website for investor and industry events we'll be attending. Hopefully we'll see you in July at the Farnborough Air Show. And in the meanwhile, if you have any questions, please reach out to the Lilium’s Investor Relations team. Once again, thank you for participating today.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.